Operator: Welcome to the MBIA Incorporated Third Quarter 2022 Financial Results Conference Call. I would now like to turn the call over to Greg Diamond, Managing Director of Investor & Media Relations at MBIA. Please go ahead, sir.
Greg Diamond: Thank you, Chelsea. Yes. Welcome to MBIA's conference call for our third-quarter 2022 financial results. After the market closed yesterday, we issued and posted several items on our websites, including our financial results, 10-Q, quarterly operating supplement, and statutory financial statements for both MBIA Insurance Corporation and National Public Finance Guarantee Corporation. We also posted updates to the listings of our insurance company's insurance portfolios. Regarding today's call, please note that anything said on the call is qualified by the information provided in the company's 10-K, 10-Q, and other SEC filings, as our company's definitive disclosures are incorporated in those documents. We urge investors to read our 10-K and 10-Qs as they contain our most current disclosures about the company, and its financial and operating results. Those documents also contain information that may not be addressed on today's call. The definitions and reconciliations of the non-GAAP terms included in our remarks today are also included in our 10-K and 10-Qs, as well as our financial results report and our quarterly operating supplement. The recorded replay of today's call will become available approximately two hours after the end of the call, and the information for accessing it was included in last week's press announcement and in the financial results report posted on the MBIA website yesterday. Now for our Safe Harbor disclosure statement. Our remarks on today's conference call may contain forward-looking statements. Important factors such as general market conditions and the competitive environment could cause our actual results to differ materially from the projected results referenced in our forward-looking statements. Risk factors are detailed in our 10-K and 10-Qs, which are available on our website at mbia.com. The company cautions not to place undue reliance on any such forward-looking statements. The company also undertakes no obligation to publicly correct or update any forward-looking statement if it later becomes aware that such statement is no longer accurate. For our call today, Bill Fallon and Anthony McKiernan will provide introductory comments, and then a question and answer session will follow. Now, here is Bill Fallon.
Bill Fallon: Thanks, Greg. Good morning, everyone. Thanks for being with us today. As we noted in our third quarter financial results report that we posted on our website yesterday, given the progress resolving our Puerto Rico exposures, we have retained Barclays to explore potential strategic alternatives for the company, including a possible sale of the company. We have not established a timeline for completing this process and there can be no assurance that the process result in a particular transaction or the strategic outcome. Also, we do not intend to disclose further development unless and until we determine that further disclosure is appropriate or necessary. Since our last conference call, the plan of adjustment to restructure the debt of the Puerto Rico Highways and Transportation Authority or HTA has been approved by the Title III Court. The effective date for implementing the plan is still pending at this time. When the plant becomes effective, National will receive additional cash and newly issued HTA bonds and intends to make insurance claims payments in full that will extinguish its remaining insured exposure of HTA bonds. National's last remaining significant Puerto Rico exposure is PREPA. In September, the Title III Court ordered the Oversight Board to submit our proposed plan of adjustment for PREPA by December 1. In addition, litigation concerning the nature and extent of PREPA's bondholder security interest in PREPA's revenues will occur simultaneously. No date has been set for the hearing for this litigation. As of September 30, National's remaining exposure to PREPA is approximately $710 million of gross par insured. Turning to National's other insured credits. The insured portfolio has continued to perform consistent with our expectations. National's insured portfolio has continued to run off as its outstanding gross par declined by $3.4 billion from year-end 2021 to approximately $33 billion at September 30, 2022. Also, National's leverage ratio of gross par to statutory capital declined to 17:1 at the end of the third quarter, down from 18:1 at year-end 2021. As of September 30, 2022, National had total claims-paying resources of $2.9 billion with cash and investments totaling $2.5 billion and salvage unpaid claims of $285 million as per statutory financial reporting. Now, Anthony will provide additional comments about our financial results.
Anthony McKiernan: Thanks, Bill, and good morning. I will begin with a review of our third quarter 2022 GAAP and non-GAAP results. The company reported a consolidated GAAP net loss of $34 million or negative $0.67 per share for the third quarter of 2022, compared to a consolidated GAAP net loss of $123 million or a negative $2.49 per share for the third quarter ended September 30, 2021  The lower net loss this quarter was largely driven by a loss in LAE benefit at MBIA Corp due to higher discount rates applied to its wrapped first lien RMBS, which caused case reserves net of recoveries to decline, lower loss in LAE at National, higher investment income, and mark-to-market gains on our interest rate swaps associated with our legacy ALM business due to higher interest rates. These favorable variances were somewhat offset by net realized investment losses on sold investments, as well as mark-to-market losses on investments due to higher interest rates, lower premium earnings, VIE-related losses at MBIA Corp, primarily resulting from the purchase of an MBIA Corp wrapped security, which was largely equity neutral as losses were also released from other comprehensive income. Loss in LAE expense at National this quarter was primarily due to lower estimated prices on its Puerto Rico HTA-related collateral it expects to receive in the fourth quarter of 2022. As of September 30, National sold all of the Puerto Rico GO bonds it had received as part of the GO debt restructuring and approximately 55% of its Puerto Rico geo-related contingent value instruments or CVIs. National also saw approximately 16% of its HTA CVIs during the quarter. The company's adjusted net loss, a non-GAAP measure, was $17 million or a negative $0.34 per diluted share for the third quarter of 2022, compared with an adjusted net loss of $76 million or negative $1.54 per diluted share for the third quarter of 2021. The favorable change was due primarily to the lower loss in LAE at National. MBIA Inc's book value per share decreased to a negative $15.70 per share as of September 30, 2022, versus a negative $5.73 per share as of December 31, 2021, primarily due to unrealized losses on investments recorded to other comprehensive income, driven by higher interest rates and wider credit spreads, as well as the $143 million year-to-date net loss. Included in book value is a negative $37.03 per share book value of MBIA Insurance Corp. I will now spend a few minutes on the corporate segment balance sheet and our insurance company's statutory results. The Corporate segment, which primarily includes the activity of the holding company, MBIA Inc, had total assets of approximately $622 million as of September 30, 2022. Within this total are the following material items. Unencumbered cash and liquid assets held by MBIA Inc totaled approximately $172 million as of September 30, 2022, compared with $239 million as of December 31, 2021. The Holding company expects to receive a $72 million as of right dividends from National later this month. The Corporate segment's assets also included approximately $355 million of assets at market value, pledged to the GICs and the interest rate swaps supporting the legacy GIC operation. Turning to the insurance company's statutory results. National reported a statutory net loss of $25 million for the quarter ended September 30, 2022, versus statutory net income of $61 million for the quarter ended September 30, 2021. The unfavorable comparison was primarily due to loss in LAE in Q3 2022 on the values of HTA recoveries and to a lesser extent, PREPA recoveries, versus a loss in LAE benefit in Q3 2021 as well as realized losses on securities sold during the quarter. Statutory capital and claims paying resources have remained relatively consistent year-to-date at $1.9 billion and $2.9 billion respectively. From inception through 9/30/2022, gross claims paid on insured Puerto Rico exposure totaled approximately $2.3 billion. Turning to MBIA Insurance Corp. Its statutory net income was $50 million for the third quarter of 2022, compared to a statutory net loss of $17 million for the third quarter of 2021. The favorable comparison was primarily due to a loss in LAE benefit in Q3 2022 driven by higher expected Zohar recoveries, partially offset by a decline in net premiums earned due to the termination of an international public finance credit in 2021. In Q3 2022, the Zohar bankruptcy plan became effective and MBIA Corp received its share of the Zohar collateral, consisting of portfolio companies and litigation assets through interests in asset recovery entities. Different from our GAAP accounting, changes in the estimated recovery values of these asset recovery interests will continue to be recorded as insurance recoveries in our statutory financials. As of September 30, 2022, the statutory capital of MBIA Insurance Corp was $162 million and claims-paying resources totaled $764 million, increasing from year-end 2021, due primarily to the year-to-date net income of $30 million. MBIA Corp's insured gross par outstanding reduced by approximately $120 million during the quarter and was $4.1 billion as of September 30, 2022, and 55% of that exposure is non-US public finance credits. And now, we will turn the call over to the operator to begin the question-and-answer session.
Operator: Thank you, sir. [Operator Instructions] We'll take our first question from Tommy McJoynt with KBW. Your line is open.
Tommy McJoynt: Hi. Good morning, guys. Thanks for the update on retaining an advisor. From your perspective, could you just help us understand the feasibility and perhaps, the pros and cons of what a sale of National versus a sale of the whole company would look like?
Bill Fallon: Yes. Tommy, with regard to that, and you've highlighted, people in the past have suggested the whole company could be sold, which would be 100% of the common shares. People have also mentioned that National could be sold. It really depends on what the perspective buyer, perhaps, does and how they think about what the combination would be. But at this point, it probably doesn't make sense to get into sort of the pros and cons of each one, because it really does depend on the buyer that you're talking about. So I think we'll let that play out. And as we have more information as we said, that makes sense, we'll communicate that.
Tommy McJoynt: Okay. And just thinking of prospective buyers, is it fair to think that both strategic and financial buyers should be in play?
Bill Fallon: Yes. I think that's definitely the case.
Tommy McJoynt: Okay. And then just another question from me. What type of opportunities for buying or settling some of your various obligations at accretive below-par values do you expect to become available over the next few months? And what is your capital flexibility at the holding company to pursue those opportunities?
Anthony McKiernan: Good morning, Tommy. So as the market has been opportunistic for us, over the last couple of years, we've taken the opportunity to buy back some of the Inc debt at very solid yields. So I think as of today, the holding company has enough cash and with the as of right dividends, we're really looking past 2025 at this point to debt maturities through '27. So we'll continue to take a look at that as opportunities progress. Obviously, we're very sensitive to market volatility related to the ALM business, but I think we feel confident enough in our liquidity position that if opportunities arise, we'll take advantage of it.
Tommy McJoynt: Got it. Thanks. And actually just a last one, I forgot to follow-up on the first part of my question. Just confirming that the kind of posture is that PREPA does not need to be fully resolved for a sale of the company can happen. Is that still the case?
Bill Fallon: Yes. We believe that is definitely the case.
Tommy McJoynt: Okay. Thanks.
Operator: Thank you. Our next question will come from Geoffrey Dunn with Dowling & Partners. Your line is open.
Geoffrey Dunn: Thanks. Good morning. I was hoping you might be able to provide a little bit more color on PREPA. Outside looking in, it seems like Judge Swain was losing patience with a lack of development of PREPA back in the spring. It sounded like discussions were constructive in the summer but now, we're stretching into the winter and another deadline has been set. Can you share anything about how negotiations have been going on? Has this been constructive and then become more frustrating? Or is this just a normal play out of how this is going to proceed?
Bill Fallon: Yes. Geoff, there was an omnibus hearing yesterday, as I'm sure you're aware. And so, the sequence that you just described continued. Most of this, I think, if not all of it, is in the public domain at this point. So, as you're aware, the remediation sessions, a while back, there was an impasse reached. Judge Swain sort of recommended or ordered everyone back. And then in the last sort of four to six weeks since she recommended or required everyone to go back, what came out in court yesterday was that there hadn't been a lot of interaction between the parties. she indicated that she wanted any plan that needs to be submitted by the Oversight Board on December 1, require real input that would come from these mediation sessions. And that's really where we are today. So again, there's this date of December 1, plans have to be filed by the Oversight Board, and we would expect that there would be some type of interaction between now and then.
Geoffrey Dunn: Okay, great. Thank you.
Operator: Thank you. Our next question will come from Paul Saunders with Hutch Capital. Your line is open.
Paul Saunders: Hi, guys. Good morning. Thanks for taking my call. I actually got - the operator interrupted during the first call. So I hope I'm not asking any repeat questions here. But my first question is just on your thoughts on debt buybacks. I know you bought a nice slug of debt in the second quarter, and I see you didn't buy any this quarter. And I'm sure you guys know your first-to-maturity euro notes are sort of offered below 90 now. You've got a lot of cash to address those. I'm just curious, your thoughts on those. And then obviously, the longer-dated notes are also at huge discounts, yielding double digits and that kind of thing. So just kind of your general thoughts on sitting with cash at the holding company versus buying back debt.
Anthony McKiernan: Sure, Paul. Good morning. It's Anthony. So part of this is going to be a little repetitive, because someone did ask previously. So forgive me for that. But - so again, where the holding company is today, we've got enough cash and with the as-of-right dividends coming in, we are really looking kind of to 2025 to 2027 at this point. As you said, we've been opportunistic and I think, we've accomplished some solid outcomes on buying back debt over the last couple of years. So we'll continue to look at it. We've been sensitive to obviously the market volatility, in general, the last few months, which is why we've hesitated to embark on additional buybacks. But we're going to continue to look at that as opportunities arise, given the holding company liquidity position over the next few months. On the later-dated paper, we've just generally held to, looking at the earlier windows, just making sure that we're allocating properly for the holding company's liquidity needs. So generally speaking, we've called the kind of a liquidity window. And for those who have been following, that's been expanding over time as the holding company's liquidity position has gotten stronger. So as I said, now we're kind of looking at '25 to '27.
Paul Saunders: Yes. Okay. And then you mentioned on the prepared remarks, I saw the big increase in salvage value for MBIA Corp, and you said that, that was a write-up or increase in value for Zohar. Can you provide any more color specifically - just specifically what Zohar collateral that was or just any color you can provide.
Anthony McKiernan: Sure. So over the last two quarters, the salvage at MBIA Corp has gone up for two reasons. One is, we bought back some of our own wrapped paper for remediation purposes and that has been classified as salvage under a permitted practice we've got from the New York Department of Financial Services. The other reason is an increase in Zohar recoveries, which has resulted since the bankruptcy ended in August, there were a few assets in particular that we had not ascribed value to because we couldn't before the bankruptcy ended. So there were a few escrow account items and a litigation trust that's been formed after the bankruptcy went effect - the bankruptcy date went effective, and those values aided to the increase in salvage for Corp.
Paul Saunders: Okay. That's helpful. And just last one for me. The retention of Barclays is definitely exciting. I think a lot of investors are happy to hear that. Can you provide any sort of context on what that process will look like? How long you think it will last? And just sort of steps that you guys are running down in terms of just sort of for us to understand what that timing will look like.
Bill Fallon: Yes. It's hard to predict exactly how that may play out, but we've been working with Barclays. As you're probably aware in these types of situations, there's a bunch of things we needed to do internally to get ready for the process or as part of the process, I should say, and we've done all that work, and then it really is talking to prospective buyers or interested parties and that has started. But beyond that, it's very hard to predict. And I think the nature of these things is that we'll let it play out and a lot of the things will be confidential. As we've indicated, when we have something to say, we'll make sure we communicate it to shareholders.
Paul Saunders: Okay. And maybe you can't answer this, but is it - are you running it like a traditional M&A auction process or is this - or is it more, I guess, information gathering?
Bill Fallon: I think it's closer to the former, which is, I would view this as a pretty traditional process, recognizing that everyone is different and there are some things about our company that may be very unique to us. But I would consider a very traditional process, which we think will be beneficial for the shareholders.
Paul Saunders: That's great. Thank you, guys.
Operator: Thank you. [Operator Instructions] Our next question will come from John Staley with Staley Capital Advisors. Your line is open.
John Staley: Thank you. Bill, I have two separate lines of questions that will help me as a very long-term shareholder trying to understand this better. Some months ago, you indicated in the release you received half of the Puerto Rican highway bond settlement proceeds. Then the rest of it saying they get tied up in a squabble between various bondholders as opposed to the Puerto Rican authorities. Once you guys get settled, then the lawyers for the bondholder start to argue with you. Now, you indicated that, that has been resolved I assume. And from the highway bond proceeds that you expect to get, will they be comparable to what you've got on the first half or did you have to give up something to Invesco and the other guys that were suing? And how does that then play over to the PREPA, where - are we going to have another situation where you get your stuff politically resolved and then you have squabbles between yourself and the bondholders. It just seems very confusing to me, and it just seems like a tab running for lawyers.
Bill Fallon: There's a lot of that I could probably continent on John. I think to the heart of your question, the original agreement in terms of what we will receive in consideration, which was split into two parts, none of that has been reduced. You're absolutely correct, we received part of it back in the summer, and there was an additional amount upon the completion or the execution of the deal. The court has approved the plan. There was a process they go through where there is a period where objections can be filed and therefore, the actual date that the plan will be consummated and consideration will be exchanged has not been set. We thought perhaps it would be discussed yesterday in the omnibus hearing in front of Judge Swain in the Title III Court, but there was no specific date set. Hard to predict, but it wouldn't surprise us if that all occurs this month. But again, there's no specific date, but we'll keep our eye on that. But rest assured, none - we did not give up anything in the two or three months that you were describing. So nothing has been lost in terms of the original HTA settlement amount. As it relates to PREPA, while I suppose there are some things that are similar, it's very different than that. There is no agreement that has been approved by the court at this point with regard to PREPA. We thought we had an agreement that went back quite a while ago, that we refer to as the restructuring support agreement or RSA, that was then rejected by the Government of Puerto Rico and subsequently, by the Oversight Board. So as I indicated in an earlier response to a question, we are now in mediation with the Oversight Board on behalf of PREPA. And again, we're not in a position to make any predictions how that will play out, but that's the focus at this point.
John Staley: Okay. And then when you - let's move to my second question. As you get engaged with Barclays, it strikes me that while you obviously will be having some financial buyers look at this, which will essentially be a liquidation play it seems to me, that the compelling opportunity here is strategic and it's perhaps a naive question. But if you had a strategic buyer, I would guess the AGO is probably a likely one as anybody, because they also have the Puerto Rican expertise and exposure. I'm curious if there - I mean there is obvious synergy when you eliminate corporate overhead. If you are already in the business, all the overhead you guys have from directors to officers to et cetera, et cetera, you got it all already. But is there any arbitrage where you move from a standalone MBIA or National, and you move National into a larger entity like AGO. Did they picked up some relief on reserves or from their ratings or from the size, maybe they are ensuring the same bonds, and that you have in some cases? Is there some kind of arbitrage, strategic cash that makes their ability to pay more?
Bill Fallon: I suppose that question is better answered by those particular parties. But what you're describing is definitely possible. I would guess - I would focus on a - more with regard to the amount of capital if you combined two insurance operations. And in particular, if a company is focused on their ratings, and therefore when you put the two companies together, you can actually hold less capital to attain a certain rating. That to your point, we clearly be a benefit or a synergy. The other one would be to the extent that you're trying to remove money and you need, in our case, Department of Financial Services' approval, same thing to the extent that the portfolio is larger and more diversified, and therefore when you combine the two, you don't need to keep the combined capital and that can be released to shareholders, to your point, that would also be a benefit to shareholders.
John Staley: Okay. And I think I asked this once before, but related to MBIA Inc, the insurance entity there, where you have no financial recourse from that company back to your holding company or to National or anything else, is that transferable? If somebody comes in to buy the whole company, which would clearly be the cleanest transaction, is there any issue that, that separation of liability exists to the acquiring company?
Bill Fallon: To your point, MBIA Insurance Corp is completely separate. Their obligations are not the obligations of MBIA Inc or of National's. So it is a legally separate entity where the stock is 100% owned by MBIA Inc, but it has no obligation to support it.
John Staley: Okay. And that transfers in the deal?
Bill Fallon: Correct. If you buy 100% of the stock of MBIA Inc, which is I think what you're referring to, then that - that structure would remain.
John Staley: Thank you very much. And I'll echo the comment of another person on here. Very, very pleased that you guys are moving forward and getting something done. Let's hope it works out well and fast.
Bill Fallon: Thank you for your call, John.
Operator: Thank you. And at this time, I'm showing no further questions. So I would like to turn the floor back over to management for any additional or closing remarks.
Greg Diamond: Thank you, Chelsea. Thanks to those of you listening to the call today. Please contact us directly if you have any additional questions. We also recommend - hold on a second, we've got another person in the queue.
Operator: We have a question next from Doug Setherson with Shay Capital.. Your line is open.
Unidentified Analyst: It's actually [Seth]. A quick question. The formality of the strategic alternatives process and actually retaining Barclays, was this in response to an unsolicited approach and somebody reaching out to you guys? Or did you feel comfortable about, finally, many ducks were in a row based on what was going on in Puerto Rico?
Bill Fallon: It's the latter.
Unidentified Analyst: And in past calls, you guys have talked about formally or informally, looking to maximize shareholder value. What is different about this step versus in the prior quarters?
Bill Fallon: I think as we've indicated for a while, we have now come to the conclusion that the Puerto Rico restructuring has been substantially complete at this point. I mean, I know we have PREPA, but depending on how you want to estimate it, we're probably 75%, 80% of our way through our large exposures. And even with PREPA, given the back and forth in the negotiations and mediation sessions, there's at least a sense of the parameters around which that one might get settled. So, we, again, don't believe we have to wait. And as you're probably aware, it can take a while, even from the time an agreement reach to - to be fully executed. And we thought it was best for our shareholders that we move now in terms of pursuing strategic alternatives.
Unidentified Analyst: And that ambiguity or not ambiguous, but even though there are parameters, the fact that there is not a final conclusion won't impede in value maximization, the strategics or financial buyers will be able to get their arms around, I guess, a range and they'll be comfortable enough to pursue something now?
Bill Fallon: We believe that to be the case. If for some reason things change, we can always adjust our approach.
Unidentified Analyst: Great. Thank you.
Operator: Thank you. And at this time, we have no further questions. I'd like to turn it back to management for closing remarks.
Greg Diamond: Thanks again, Chelsea, and thanks to everybody else listening to the call. Please call us directly if you have any additional questions. We also recommend that you visit our website at mbia.com for additional information on the company. Thank you for your interest in MBIA. Good day and goodbye.
Operator: Thank you, ladies and gentlemen. This does conclude today's MBIA's third quarter 2022 financial results conference call. You may now disconnect.